Operator: Good afternoon. Thank you for joining Tetragon's 2023 Annual Report Investor Call. You are all in a listen-only mode. The call will be accompanied by a live presentation, which can be viewed online by registering at the link provided in the company's conference call press release. This press release can be found on the homepage of the company's website, www.tetragoninv.com. In addition, questions can be submitted online, while watching the presentation. As a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: Thank you. As one of the Principals and Founders of the Investment Manager of Tetragon Financial Group Limited, I'd like to welcome you to our investor call, which will focus on the company's 2023 annual results. Paul Gannon, our CFO, will review the company's financial performance for the period. Steve Prince, and I will talk through some of the detail of the portfolio performance and Steve will spend some time discussing the outlook. As usual, we'll conclude with questions, those taken electronically via our web-based system at the end of the presentation as well as those received since the last update. The PDF of the slides are now available to download on our website. If you're on the webcast, directly from the webcast portal. Before I go into the presentation, some reminders. First, Tetragon's shares are subject to restrictions on ownership by U.S. persons and are not intended for European retail investors. These are described in some detail on our website. Tetragon anticipates that its typical investors will be institutional and professional investors, who wish to invest for the long-term and have experience in investing in financial markets and collective investment undertakings, who are capable themselves of evaluating the merits and risks of Tetragon shares and who have sufficient resources both to invest in potentially illiquid securities and to be able to bear any losses that may result from the investment, which may equal the whole amount invested. I would like to remind everyone that the following may contain forward-looking comments, including statements regarding the intentions, beliefs or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially as a result of various possible events or factors. With that, let me pass over to Paul.
Paul Gannon: Thank you, Patty. Tetragon continues to focus on three key metrics when assessing how value is being created for and delivered to Tetragon shareholders. Firstly, how value is being created via NAV per share total return? Secondly, how investment returns are contributing to value creation measured as a return on equity or ROE? Thirdly, how value is being returned to shareholders through distributions in the form of dividends and buybacks? The fully diluted NAV per share was $31.13 at 31st December '23 with a NAV per share total return of 6.4% for the calendar year. Since its IPO in 2007, Tetragon has achieved an annualized NAV per share total return of 10.5%. For monitoring investment returns, we use an ROE calculation, which was positive 5.5% for 2023, and that's net of all fees and expenses. The average ROE that's been achieved since IPO is now positive 11.3%, which is within the target range of 10% to 15% per annum. Moving on to the final key metric, Tetragon declared a dividend of $0.11 for the fourth quarter, which represents a dividend of $0.44 for the full year. Based on the year end share price of $9.88, the last four quarters dividend represents a yield of approximately 4.5%. In addition to this, Tetragon also returned approximately $60 million to shareholders during 2023 through two separate tenant offers, and we'll reference this again when we go through the next slide, which is the NAV bridge. So now on to the NAV bridge, which breaks down into its component parts, the change in Tetragon's fully diluted NAV per share from $29.69 at the end of 2022 to $31.13 per share at the end of 2023. The key component parts are as follows: Investment income increased NAV per share by $2.56 per share. Operating expenses, including management and incentive fees reduced NAV per share by $0.69 with a further $0.27 per share reduction due to interest expense incurred on the revolving credit facility. On the capital side, gross dividends reduced NAV per share by $0.44. There was a net dilution of $0.95 per share, which is labeled as other share dilution in the bridge. This bucket primarily reflects the impact of dilution from stock dividends plus the additional recognition of equity based compensation shares. However, this was offset by share repurchases, which were accretive to NAV per share, by $1.23. Overall, a net accretion here of approximately $0.28 per share. Tetragon repurchased $60 million of its non-voting shares during 2023 with tender offers completing in April December. Inception to date, the company has now returned approximately $1.7 billion to investors through dividends and share repurchases. Tetragon also announced yesterday its intention to repurchase approximately $25 million worth of shares, which based on Tetragon's current NAV and share price will be accretive to NAV per share. I will now hand back over to Paddy.
Paddy Dear: Thanks, Paul. As on previous calls, before we delve into the details of our 2023 performance, I just want to put the company's performance in the context of the long run. Tetragon began trading in 2005 and became a public company in April 2007. The Fund has 19 years of trading history. This chart shows the NAV per share total return, that's the thick green line at the top, the share price total return, which is the dash green line. The chart also includes equity indices, the MSCI ACWI and the FTSE All-Share and lastly includes the Tetragon hurdle rate of SOFR plus 2.75%. As you can see in the graph, over that time, Tetragon has been trading as a publicly-listed company. NAV per share total return is 429%. As Warren Buffett has said, compounding is the eighth wonder of the world. We believe that our somewhat idiosyncratic structure of a listed fund owning alternative assets and a diversified alternative asset management platform has helped us to create an alpha driven ecosystem of ideas and expertise and insights and connections that help us do this. In 2023, as Paul showed, we've made a small positive return, but this was below our long-term target and also below market equity indices. The main reason for this, we believe, is that it's been a very narrow universe of growth in equity stocks that has driven this year's performance in most indices, sorry, this year being last year's performance. The Magnificent 7 in the U.S. and now obviously the granola that are being talked about in Europe. And that, obviously, is great for equity owners, but it's not really our area of focus. We've pursued diversification and expect our broader themes to play out over time. As I said at the first half review, that's not meant to be an excuse. It's just merely an observation. Moving to the next slide and continuing the theme of looking at the longer-term, here are some more performance metrics. Return on equity or investment return target is 10% to 15% over the cycles. As Paul mentioned, the average return since IPO is 11.3%. Just to point out one other number on this slide and that is the top right hand corner, over 39% of the public shares are owned by principals of the investment manager and employees of TFG Asset Management. We believe this is an important metric. It demonstrates a strong belief in what we do as well as a strong alignment of interest between the manager, TFG Asset Management employees and Tetragon shareholders. With that, let's now move on to the next slide. We talk here about the composition of Tetragon's assets. This looks at the breakdown therefore of the $2.8 billion of NAV. There were two colored disks here and they show the percentage breakdown by asset classes and strategies at year end '22 on the left and then compares them with the year end 2023 on the right. A couple of things to point out. Firstly, private equity and venture capital are now 16% of the portfolio and that's up from 13% at the end of the previous year, and that is driven by performance and one or two new investments. Secondly, I would highlight bank loans. Our exposure here is down from 10% at the end of '22 to 8% at the end of 2023. What happened in '23 is the existing investments had a strong year. They made good cash distributions, but we made very few new CLO investments and hence the decline in allocation. Other equities and credit are up 7% from 6%. This was driven by positive performance. And then you can see that the other asset classes are broadly down in percentage terms pro rata with those that I've just mentioned. Moving on to the next slide. Here, we can start to discuss the year's performance in more detail by the asset classes. The NAV bridge that Paul showed was a high level overview of the NAV per share. What this table does is, show a breakdown of the composition of Tetragon's NAV at the end of '23 and again uses that versus the end of 2022 and it does it by asset class. It also shows the factors contributing to those changes in NAV. This table shows investment performance and capital flows that then ties back to the change in NAV. As you can see from the bottom row of the table, the aggregate investment performance and this is labeled gains and losses was a growth profit for the period of $241 million. Specifically, TFG Asset Management, which is our private equity holdings in asset management companies, had gains of $7 million, event driven equities, convertibles, and other hedge funds gained $8 million, bank loans generated $11 million. Real estate had a loss of $6 million. Private equity and venture capital had a gain of $91 million. Legal assets a gain of $3 million, and as you can see, other equities and credit a gain over $124 million. And therefore being by some way the best performing segment. So what I'd like to do now is take each of these asset classes and we'll go drill down into more detail on each, and we'll start at the top with TFG Asset Management. And with that over to Steve.
Steve Prince : Thanks, Paddy. Before I review the performance of TFG Asset Management's constituent businesses, I wanted to take a moment to remind listeners of TFG Asset Management's strategy and key value proposition. We continue to look to add new strategies and help individuals and teams to create successful asset management businesses by leveraging TFG Asset Management's operating infrastructure and shared strategic direction with Tetragon, who can support asset management businesses through co-investment and working capital. At the same time, we continue to look for creative ways to help our partners grow their existing businesses, which may involve selling partial stakes or whole businesses if we, and they believe it may unlock future growth and value. As we discussed in our 2021 annual report, the strong performance of BGO, Equitix, and LCM in particular have enhanced the attractiveness of individual business transactions as an important way of realizing the value inherent in our TFG Asset Management businesses. As such, the strategy for TFG Asset Management over the coming years will continue to include launching new strategies and potentially acquiring businesses, but will also include, possibly include executing on individual sales transactions that would take advantage of this value enhancement. Although transactions such as these would inevitably have the effect of shrinking TFG Asset Management's portfolio of relatively mature market leading businesses, and thus our aggregate AUM thereby possibly delaying progress towards a strategic transaction at the TFG Asset Management level, those transactions would enable TFG Asset Management to monetize the benefits of its success in growing successful asset management businesses. Indeed, our view is that one of the key metrics that underscores TFG asset management success must be the returns achieved by successful dispositions of its private equity stakes and asset management companies. I'm now going to move on to the performance of our various asset managers during 2023. Our private equity investments and asset management companies through TFG Asset Management recorded an investment gain of $6.8 million during 2023, driven by investments and Equitix, our core infrastructure, asset management and primary project platform. I'm going to share some details on all of our businesses now. Tetragon's investment in Equitix made a gain of $53 million driven by a combination of: A, higher valuation as the business continued to deliver against this business. B, a reduction in net debt due to positive cash generation. C, dividend income received by Tetragon of about $28 million. And D, foreign exchange gains on the unhedged portion of our investment. Equitix's AUM increased from GBP10 billion to GBP10.9 billion. Equitix also started raising capital for Fund VII after closing Fund VI at GBP1.5 billion in AUM, and also raised some capital into managed accounts during the year. Tetragon's investment in BGO, the new trading name for BentallGreenOak, a real estate focused principal investing, lending and advisory firm had a small gain of $2 million during the year. During 2023, distributions to Tetragon from BGO totaled approximately $18 million, reflecting a combination of fixed quarterly contractual payments, variable payments and carried interest. The value of Tetragon's investment decreased to $270.5 million during the year. The value of Tetragon's put/call option decreased by $6.3 million in part reflecting an update to BGO's business plan and forecast. This decrease was offset by gains in the fixed quarterly contractual payments due to a reduction in the discount rate applied to these payments and higher variable payments received during the year, as compared to the forecasted payments. We thought it was worth reminding everyone about the elements of the BGO transaction. As listeners might recall, in July 2019, GreenOak Real Estate merged with Bentall Kennedy, Sun Life Financial's North American real estate and property management firm, to form BentallGreenOak. Now, as we said, known as BGO. Since then, TFG Asset Management has continued to own nearly 13% of the combined entity. There were a number of elements to that transaction, including an upfront payment of $42 million upon closing a series of fixed quarterly payments received over the life of the deal, quarterly variable payments linked to BGO's earnings and cash generation and finally, Sun Life has a call option to acquire the remaining interest in BGO in 2026. There's also a put option in 2027 that entitles TFG Asset Management and the other minority owners of BGO to sell their interest to Sun Life should the call not be exercised. As a consequence, it's expected that TFG Asset Management will sell its interest in BGO in 2026. While this is continuously factored into our valuation, it will have an impact on Tetragon's cash levels and reported AUM for TFG Asset Management. Meaning, upon the exit of Tetragon's interest in BGO, we would expect Tetragon's cash levels to increase and TFG Asset Management's reported AUM to decrease. Moving on to LCM. Tetragon's investment in LCM, which manages bank loan assets through CLOs, made a loss of $36 million in 2023, as the valuation reflected the impact of the reduction in LCM's AUM which decreased 14% during the year. That reflect a combination of LCM not issuing any new deal, due to market conditions as well as the amortization of some existing deals. TFG Asset Management's other asset managers produced a collective loss of $12.6 million during 2023. That was due to a combination of reduction in the fair value of some of these managers, as well as working capital support provided to the newer businesses. The other managers in this category include Westbourne River Partners, which is the renamed European event driven equity investing business of Polygon Global Partners. We renamed that following Acasta Partners, successful rebound in 2022. Westbourne River Partners that name was inspired by one of London's Historic Rivers. Acasta Partners is a manager of Open-ended hedge funds and managed account vehicles employing a multidisciplinary approach. Tetra and Credit Partners is our structured credit investing business focused on primary CLO control equity, as well as other offerings in the CLO capital structure. Hawke’s Point is our asset management business that provides strategic capital to companies in the metal sector. Banyan Square Partners a private equity firm that's focused on non-control structured and common equity investment opportunities. And finally, Contingency Capital, which is a global asset management business focused on credit oriented legal assets investments. Now, I'm going to turn it over to Paddy, who will review our hedge fund investments.
Paddy Dear : Thanks, Steve. Tetragon invests in event driven equities, convertible bonds, credit and some other strategies through hedge funds. The majority of these are investments that are through funds managed by Westbourne River Partners and the Acasta Partners, both of whom are part of TFG Asset Management. You can see here that our investment in Westbourne River European event driven stack strategies recorded a gain of $3.4 million in the long bias share class and offset by a loss of $5.3 million in that low net, which is the top one. Tetragon increased its investment during the year by $20 million into the low net strategy. Third line item here, investments in a caster partners generated a gain of $12.4 million. Tetragon actually reduced its holdings in a cost of global fund by $10 million during the year. And it's worth noting that the fund was nominated for the 12th time since its inception in 2009 for the 2023 with Intelligence EuroHedge Award in the convertibles and volatility category. And it's actually won that award five times over its life. And the last line item here, investments in funds managed by third party managers lost $2.8 million during the year. We've actually now included the TFG Asset Management Global Equity Fund, which was formerly the Polygon Global Equities Fund. Given that it's a small allocation and Tetragon reduced its holdings by $3 million net during the period. On the next slide, I'd like to move on to bank loans. Tetragon predominantly invest in bank loans through CLOs. We take the major positions in equity trashes. Tetragon’s investments are split as shown here between LCM deals, funds managed by Tetragon credit partners, and then small exposure left to non LCM deals in the U.S. We continue to view CLOs as attractive vehicles for obtaining long-term exposure to the leverage loan asset class. As you can see from this table in aggregate, our bank loan exposure recorded a gain of $11.4 million for 2023, and cash received during the year was approximately $77 million, where we made new investments of approximately $6 million. The performance over the year was generally driven by, I would say, on the positive side, risk free rates increasing, which all other things be equal increases the cash flow generation in CLO equity. Secondly, higher-yielding reinvestment opportunities within the underlying CLOs as credit spreads widened. And thirdly, a generally benign level of loan losses during the year, albeit rising from a very low base. On the negative, I'd say there's been a deterioration in some of the older loans and that's worsening credit ratings and in addition, some lower recoveries on the defaults that we have seen. At the end of 2023 or as of the end of '23, all the CLOs either held directly or indirectly were still compliant with their junior most O/C tests. And I would note that on Tetragon Credit Partners, TCI II and III are fully invested. TCI IV is currently investing, and Tetragon has a further $6 million committed but undrawn to TCI IV. Next slide takes us through our real estate investments and Tetragon holds most of its investments in real estate through the BGO managed funds and co investment vehicles. Majority of these are private equity style funds and they concentrate on opportunistic investments targeting middle-market opportunities in the U.S., Europe and Asia. This particular focus on some of the growth sectors such as logistics, data centers, cold storage. These funds collectively had an aggregate loss of $1.9 million during 2023. The last item to mention here where it says other real estate, this is farmland investment in Paraguay managed by a specialist third party manager in South American farmland. This investment generated a loss of $4.1 million over the year, and that was based on a third-party revaluation in 2023. With that, I'll hand back to Steve.
Steve Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments was the second largest driver of performance during the year, producing gains of $91 million. Investments in this category are split into the following sub-categories. First, Tetragon's mining finance investments managed by Hawke's Point generated a gain of $51 million during 2023. These gains were driven by operational progress at one of its Australian gold projects during the year. Tetragon invested an additional $7 million into Hawke's Point Funds in 2023. Second, Tetragon's portfolio companies achieved solid operating results in 2023. However, some of the portfolio's positions were hurt by rising interest rates that negatively impacted those companies with higher debt balances. As a result, the net gain across the portfolio was $3.3 million. At year end, there were 12 positions in the fund, including positions focused on application software, infrastructure software and cybersecurity. In addition, together with TFG Asset Management, Banyan Square Partners made a strategic investment in WovenLight, which is a data driven consulting and software services business, which may add further investment opportunities to the Banyan Square business. In addition, Tetragon as a whole stands to benefit from the addition of WovenLight machine learning and AI expertise. Third, are our investments in externally managed private equity funds and co-investment vehicles in Europe and North America, which made gains of $4.5 million during the period? These investments are spread across 36 different positions. Lastly, the direct category produced gains of $32 million during the year related to positive performance in our investment in Ripple Labs. In July, 2023, a U.S. judge ruled that Ripple Labs did not violate federal securities law by selling its XRP token on public exchanges. This ruling was subsequently upheld in October, 2023 when the court dismissed the SEC's request for an interlocutory appeal. Crypto markets were further voided by expectations that the SEC was preparing to approve the first spot Bitcoin ETFs, which contributed to a fourth broad fourth quarter rally in tokens and related assets. Subsequent to year end, as most listeners are probably aware, the SEC did in fact approve many spot Bitcoin ETFs. Moving on to legal assets, Tetragon makes investments in legal assets through vehicles managed by contingency capital. Tetragon has committed capital of $60 million to contingency, $32 million of which has been called to date, including $15 million during 2023. A gain of $3.3 million was generated from this investment during the period. The performance of the contingency capital fund portfolio continues to be above our underwritten projections and performance targets, and remains uncorrelated to the public equity and debt markets. Moving on to the next slide. Other equities and credit and cash, Tetragon makes investments directly on its balance sheet reflecting single strategy ideas. These ideas are either as co-investments alongside our TFG Asset Management managers or at times idiosyncratic investments. Each of these investments tend to be opportunistic and with a catalyst. Often the sourcing of these investments has been facilitated by the managers on the TFG Asset Management platform, and also through third party managers with whom Tetragon invest. The flexibility to invest in these opportunities is a benefit of Tetragon's structure. In 2023, Tetragon was able to drive significant performance from its public equities portfolio, which is primarily focused on software and biotech investments. These investments rallied strongly in the fourth quarter as sentiment shifted in the markets and generated gains of $124.4 million during the year. Approximately two thirds of this gain was driven by companies well positioned to benefit from AI infrastructure demand or those companies that will incorporate emergent AI applications into their business models. Biotechnology contributed most of the remaining gains driven by a UK biotech company, which reported encouraging developments for its potential cancer and autoimmune therapies. The other credit bucket had flat performance and currently comprises one position. Finally, Tetragon's cash at bank balance was $23.1 million at the end of 2023. After adjusting for known accruals and liabilities, both short and long dated Tetragon’s net cash balance was a minus $243.5 million. Tetragon has access to a credit facility of $400 million with a maturity date in July, 2032. At year end, $250 million of this facility was drawn and this liability has been incorporated into the net cash balance calculation. Tetragon actively manages its cash levels to cover future commitments and to enable it to capitalize on opportunistic investments and new business opportunities. During 2023, Tetragon used $211.1 million of cash to make investments, $60.3 million to repurchase its shares, $23.3 million to pay dividends. $307.1 million of cash was received as distributions and proceeds from the sale of investments. Future cash commitments are $95.4 million and those comprise investment commitments across BGO funds, private equity funds, Sunshine Credit Partners and Contingency Capital. Moving to our last slide before we open the call up to questions. I want to go through our future investment expectations. We expect our event-driven equity and convertible exposure to remain stable. We expect to continue to invest in CLOs via various Tetragon Credit Partners vehicles, but at the same time, we expect to receive cash back from some of their initial funds. We have commitments to BGO funds, but as our existing investments continue to distribute capital, we do expect our real estate investments to be relatively stable over the next year. We expect our private equity allocations to keep growing and there are a few additional LPE commitments we have yet to fund. Therefore, we expect our Banyan Square allocation to continue to grow. In legal assets, Tetragon will continue funding its commitments to contingency capital vehicles. In other equities and credit, we expect to continue to invest in these opportunities, but the timing of those investments is less certain. Lastly, we are hopeful that, there will be additional allocations that we will be making to new asset classes and managers, but there's nothing to report at this time. I will now hand the call back over to Paddy.
A - Paddy Dear: That's great. Thank you very much, Steve. As on previous calls, I'm going to read out some questions and we'll endeavor to answer them between us. First one, I'm going to slightly pricy, but it says, I suggest that you end the dividend reinvestment program immediately and let investors buy into the open market in London or Amsterdam. Secondly, I think you need to aggressively increase the dividend. Thirdly, I'd allied that with stopping the buybacks as the market clearly don't believe the monthly stated net asset value that you so diligently post. I think there are a couple of points that I want to address here. The first is on the scrip dividend. We appreciate that there are strong views held on both sides for the scrip dividend. Just too sort of summarize where we're at. I think those who take the scrip dividend love it and those that don't dislike it. The reason we provide a scrip dividend is at request of many shareholders. The scrip dividend, as I understand it, has certain tax benefits for UK taxpayers. That's why we do it. Obviously, the tax treatment will be different if those shareholders were to receive income and then subsequently have to buy shares back in the market. That isn't a solution that works for them. We appreciate that it is dilutive, obviously, for those who take cash and tax advantageous for those who take scrip. We understand why it needs to be done or why it's beneficial for shareholders. But we also believe that we can compensate for the dilution with share buybacks. We think ultimately we're getting the same outcome, whilst being tax advantageous to those who benefit from the script. The second is quite a novel approach, because I think it's different to what we hear from others, which is saying spend the money on the dividend and reduce the share buybacks. Whereas normally we have recommendations to do the other. I think, as a lot of people know, we look at dividends and buybacks in through the same lens in that they are both uses of cash. They affect shareholders in different way, but have many similarities. And I think our response to the question is that we would respectively disagree. Whilst we think this dividend needs to be meaningful, and we think with a 4.5% yield it is, we are very cautious of making it too high. And so there's some particular reasons. The first is that the portfolio itself is not actually a high yielding portfolio. If we go back to 20 years ago when we were a 100% CLOs give or take, obviously there was a lot of cash income in the portfolio. Today, as you've just seen from the presentation, I think the CLO allocation is around about 8%. Now, obviously, some of the other areas do generate cash. Some of the asset management businesses within TFG Asset Management generate cash, but certainly across the portfolio there is a lot less cash generation as a percentage of NAV than there has been historically. Most of the profitability there therefore is capital gains, and many through illiquid instruments, and it's not income. Thus it tends to be the cash generation tends to be lumpy. And we think, we are cautious, therefore, that we don't want the dividend to be too high given that the dividend needs a consistent income stream to back it. The second argument is one that we think buybacks benefit all shareholders, and with the current discount to NAV that we strongly believe in not understanding what the market may believe, and we think that is a greater benefit, therefore to all shareholders, it's obviously flexible, in that we can do it when we have cash available. Lastly, it does provide liquidity. This is another important issue for investors, particularly when there are periods of low liquidity within the market. For those reasons, we do in the current environment have a preponderance to prefer buybacks to increasing the dividend. The next question I have got here is on share issuance. Let me read the question. Does Tetragon issue any new equity for ESOPs or any other purpose at this point? And if so, given the huge discount to NAV, please can you buy the shares in the market rather than issuing them new in order to avoid dilution to your very long-term suffering shareholders? I think, I'm guessing, but I'm pretty sure I'm right, that ESOP in this instance refers to equity share ownership programs. And they obviously have several names within companies that the LTIP or long-term investment program is the equivalent of an ESOP. And I'm going to hand over to Paul to answer that question.
Paul Gannon : Yes. Tetragon has historically issued LTIP awards with vesting periods over multiple years, sometimes up to eight years. And from an accounting perspective, the dilution is taken each year on a straight-line basis, and we do have more details covering how this works in the annual report. But generally, we agree with the questioner. In the past, Tetragon has sought to buy back shares in excess of those issued to ensure that, there is no net dilution to shareholders as a result of these awards. Another question here. What investor outreach is the company doing? Just to give a sort of backdrop to that, as a reminder, we have two brokers here in the UK, JPMorgan and Jefferies. They both write research on the company. We also engage Edison, who write on the company. All of those are involved obviously with shareholders. They get us in front of shareholders. We probably do half a dozen days per year where we're actually on trips predominantly in UK, Europe. We have done some in the U.S. in the past. On top of that, I would add for the reverse inquiries, we're always open to talk to investors or potential investors who want to come and talk to us either through the IR team or to any of the investment team specifically. That's sort of a bit of the backdrop. Another one here, would you consider monetizing or selling a stake in a PE business, specifically the infrastructure business by way of M&A or partial listing? I think the easiest way to answer that question is, as I say, ''Show, don't tell''. I think if you look at our investment in Reno over the time horizon, I think it's the best example of how we have behaved and are likely to pave in the future. That is to say that we built the business with our partners there in 2010. Then, as Steve alluded to in his piece earlier, company struck a deal with Sun Life of Canada to buy majority of the business with then a seven year earn-out or option to buy a further amount of the business, which will come about in 2026. So I think the answer to the question is, we're always looking to optimize, to maximize, to increase value in our Asset Management businesses, as we are indeed in all our investments and looking for ways to create value. Yes, that's how we think of it.
Paul Gannon: That is it for questions. So much appreciate you all joining the call, and I wish you a very good rest of the day. Thank you.
Operator: This now concludes our presentation. Thank you all for attending. You may now disconnect.